Operator: Hello, everyone, and a warm welcome to the Canadian Apartment Properties REIT Third Quarter 2021 Results Conference Call. My name is Simona and I'll be coordinating your call today.   With that I have the pleasure to handing over to your host David Mills. Please go ahead, Mr. Mills.
David Mills: Thank you, Simona. Hardly the host but -- thank you for this. Before we begin, let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future events and the financial and operating results of CAPREIT. Our actual results may differ materially from these forward-looking statements. Such statements are subject to certain risks and uncertainties. Discussions concerning these risk factors, the forward-looking statements and the factors and assumptions on which they are based can be found in CAPREIT’s regulatory filings, including our Annual Information Form and MD&A, which can be obtained at sedar.com. I'll now turn things over to Mark Kenney, President and Chief Executive Officer. Please go ahead.
Mark Kenney: Thanks, David. Good morning, and thank you for joining us. Scott Cryer, our Chief Financial Officer, is also with me this morning. Let's get started.  As you can see on Slide 4, we continue to generate solid quarterly performance this year, and look for increased gains in our key metrics going forward as we work our way out of the COVID pandemic. Revenues were up driven by the contribution from our acquisitions, increased monthly rents, and continuing high occupancies.  Stabilized NOI increased again, as did our NFFO, all while maintaining a very strong payout ratio of 58.8%. Our growth also remains a credit to unit holders, with NFFO per unit up 3.6% in the quarter.  Turning to Slide 5. We look forward to an another record year in 2021 as our performance through the first 9 months showed solid gains. All of our key benchmarks were up over last year, including revenues, NOI and NFFO. With NFFO per unit rising over 3%, we continue to generate solid and accretive growth for our unit holders. It is also important to note that we have experienced very few collection issues through the pandemic.  Today, we've collected over 99% of our rents as we work with our residents to understand their issues and ensure that we collect on a timely basis.  Looking ahead, we expect to see further increases in occupancies, accelerated growth and much improved operating performance as we gradually return to more normal markets and operations. From an operating perspective, our ability to generate solid performance in both good and bad times is clearly demonstrated by the results of our stabilized portfolio. As you can see on Slide 6.  Occupancies improved again in the third quarter, while net average monthly rents continue to increase. Our track record of organic growth also continues with same property NOI of the solid 2.1%, while maintained a strong NOI margin of over 66.1%.  We believe, we are turning a quarter with a successful vaccine rollout and a return to more normal markets. Our leasing and marketing programs continue to generate increasing occupancies as you can see on Slide 7. After almost 2 years of operating under significant pandemic restrictions, our occupancy has remained highly stable, rising to just under 98% at September 30. You can also see that our bad debt as a percentage of total revenues have remained low throughout the pandemic at under 1%. We expect occupancies will steadily improve through the balance of this year and as the pandemic eases. We are already seeing an increased interest and in person and online potential resident visits with strong and accelerated demand for our affordable, high quality and spacious suites. Another positive sign is the rent increase we're seeing on suite turnovers and increased churn that we've experienced over the last two quarters.  As you can see on Slide 8, rents were up 6% on turnover in the third quarter on higher churn rates, continuing to positive trend since we bottomed out at the height of the pandemic in Q1. Looking ahead, we are experiencing more in-person and online visits, and we expect we will start to see more higher mark-to-mark rent increases in the quarters ahead. Moving us toward the higher levels of increases we generated prior to when the pandemic set in. As we’ve stated before, our renewal increases continue to be affected by rent freezes implemented last April to help our residents work through the pandemic. Looking ahead, however, rent guideline increases of 1.2% in Ontario, and 1.5% in DC are good signs. Importantly, we'll be implementing these increases in both markets effective January 1, 2022. Capturing the full year of these guideline increases in both provinces. Currently represents of a 55% of our total NOI, it's a positive sign.  Turning to Slide 9, we continue to increase the size and scale of our property portfolio. In 2020, we added 3,262 suites insights for $820 million. So far this year, we have acquired 3,122 suites insights majority in our key GTA and VC markets. Our acquisition pipeline remains strong and robust. And despite the CAPREIT compression that we expect to generate further accretive growth in the quarters ahead.  In September, we also sold 87 noncore suites for 52.5 million. And we continue to evaluate our total portfolio to assess whether recycling certain capital will contribute to more creative growth.  I’ll now turn things over to Scott for his financial review. 
Scott Cryer : Thanks, Mark. As you can see on Slide 11, our balance sheet and financial position continue to strengthen through this third quarter with a conservative debt to gross book value and continuing high liquidity. Our over 1.2 billion in Canadian unencumbered properties provide additional liquidity so that we needed. In addition, we had 243 million available through our credit facilities and 138 million in cash at quarter end.  In total that we were to access all the sources of capital, we have available liquidity of over 1.3 billion. And even if we did our leverage ratio still remain a very conservative 41%.  Looking at our financing through the first 9 months of the year, we locked in very low interest rate of under 2.2% on our refinancing and top up, and extended our term to maturity. We expect we'll continue to benefit from current low interest rate environment for some time and expect to finance a total of approximately 1.3 billion in mortgages in 2021. And at quarter end, over 99% of our mortgages incurred a fixed interest rate.  We were also pleased to see another significant increase in the fair value of our property portfolio, increasing 722 million so far this year, following a 750 million increase in 2020. Excluding the impact of net acquisitions operating lease buyout and foreign exchange.  As you can see on Slide 12, we continue to capitalize on the current low interest rate environment, reducing interest costs in Canada and extending the term to maturity. The ability to capture strong spreads and low interest costs and then the Netherlands is also contributing to our lower overall interest costs and extending the term.  Further to our strong and flexible financial position, looking back over the last few years, you can see on Slide 13, that we've met our goal of maintaining very conservative debt and coverage ratios, even through the pandemic. This conservative approach underpins the stability and resilience of our business and the sustainability of our monthly cash distributions to unitholders. This focus on maintaining one of the strongest balance sheets in our business will continue going forward.  Our mortgage portfolio remains well balanced, as shown on Slide 14. As you can see in any given year and no more than 13% of our total mortgages come to, thereby reducing risk and a rising interest rate environment.  Looking ahead, our current ability to top up renewing mortgages through 2036 will provide further significant liquidity. You can also see that we have considerable opportunity to reduce our long-term interest costs in today's attracted interest rate environment. The current 5-year and 10-year estimated rates of approximate 2.3% and 2.6% are well below expiring mortgage rates of between 2.6% and 3.4% over the next 3 or 4 years.  I'll turn things back to Mark to wrap up. 
Mark Kenney : Thanks, Scott. Looking ahead, we see a number of very positive value drivers that we are confident will generate strong and growing returns for our unitholders over both the short and the long-term. Turning to Slide 16, you can see several of these key drivers of value that will take place in hold in the months and years ahead. Our accretive portfolio growth will continue based on our proven and successful asset allocation strategy. We are experiencing a strong pipeline of acquisition opportunities in our targeted value add apartment and MHC space, where we continue to focus on Canada's 3 largest cities Toronto, Vancouver and Montreal.  Importantly, the low interest rate environment provide significant opportunities to acquire properties, the strong cap rate spreads to reduce interest costs on a refinancing initiatives. Our industry leading balance sheet leveraging liquidity also position us for growth going forward.  We believe that we will also benefit from a number of market trends as the pandemic eases in the months ahead, including increased immigration, a return to the office and in-person learning. And the increasingly affordable alternative of our high-quality rental portfolio offering as compared to the significantly higher costs of owning a home. In addition, our ongoing investments in our properties and our operating platform are enhancing the attractiveness and value of our portfolio, improving efficiency, driving revenue gains, reducing costs and helping us meet our ESG goals.  In summary, we remain very excited about our future. Our focus on the mid-tier sector meets increasing demand for affordable high-quality homes. Our predominantly suburban locations outside of downtown cores and our larger size suites, townhomes and manufactured housing sites are meeting the needs for renters that are seeking more space.  We're experiencing a strong pipeline of accretive acquisition opportunities, and expect to see solid portfolio growth in the quarters ahead. The continuing low interest rate environment provides significant opportunities to acquire properties with strong cap rate spreads to reduce our interest costs and refinancing initiatives.  In closing, I want to once again thank everyone at CAPREIT for their hard work and dedication. And to our residents for their patience during these challenging times. Looking ahead, we are confident, we are gradually returning to more normal market conditions and will continue our 25-year track record of growth, strong operating performance and delivering enhanced value to our unit holders.  Thank you for your time this morning, and we will now be pleased to take any questions that you may have.
Operator:  Our first question comes from Jonathan Kelcher of TD Securities. 
Jonathan Kelcher: First question, Mark, you talked about, sounds like a pretty good acquisition pipeline, you are selling some assets. How should we think about capital recycling with regards to funding your pipeline?
Mark Kenney: Yes. So the acquisitions that we -- sorry, the dispositions that -- we're seeing cap rates that start with a 1, really mid 1 cap deals, and are not -- these buildings aren't trading because of their income value or cap rate value, they're trading because of development potential. And the several trades that we have done, we're in a great position there, because we haven't even started the development process ourselves, the entitlement process that they were land assemblies where our buildings are top and in great locations. So the reality is, if we can continue to sell cap rates in the 1s and buy cap rates in the mid 3s, we'll just keep doing that.
Jonathan Kelcher: Okay. And then how should we think about your own development programs? Or it just  around, I guess.
Mark Kenney: Well, there's lots fear, but we're going to continue to do the work. We're inching towards entitlements on several sites. But I'm cautious right now. There's the pricing environment, what we're learning is, it's difficult to get cost commitments on developments that are more than 90 days out. There supply chain issues, things -- the cost of things are moving around. So, as we're painting pro formas they're really uncertain right now, until the supply chain settles down, I'd be very cautious about proceeding on the opportunities that we have. But that being said, if we continue to find a way of recognizing the land value in some of our buildings with cap rates trading in the 1s we'll continue to look at that.
Jonathan Kelcher: Okay. And then just switching gears to operations both the Toronto and Montreal markets had negative same property NOI this quarter, maybe give a little bit of color on what's happening in each of those two markets?
Mark Kenney: Well, I think it's what we had predicted. Q3, we were all hoping to see perhaps more of a hockey stick return. But the trend is extremely positive, like it seems to be almost daily. Now we're seeing upticks in traffic and those upticks in traffic and obviously allow us to price our product properly. But the trend of occupancy, you can see in the portfolio that now down to almost under 2%. And that allows us to just have confidence with our pricing power going forward. So I think we can look forward to seeing that trend continuing to Q4. It's not slowing down, if anything, it's escalating. 
Operator: Our next question comes from Brad Sturges of Raymond James.
Brad Sturges : Just to follow-on to the commentary, there's more the key under 30 demographic you're seeing in terms of improving traffic, or do you see maybe some other demand drivers starting to come back a bit more like for immigration or even international students?
Mark Kenney: So I characterize the market this way. It's now an issue of back to work mandating. So those under 30s, it's really going to now track very closely the appetite that employers have to mandate back to work. Many employers still haven't done that. But it's starting to happen. And we're seeing the direct result of that. It's -- generally speaking in cities we’re back to work as being mandated or hybrid work, or whatever the case may be. We're seeing people return to the market.  Secondly, on the student's phenomenon, this is speculations completely. But we're very optimistic that there will be in-class learning in post-secondary institutions that don't currently have in-class learning. And what that might result in, if we're being optimistic, is enrollment in the second semester, that you wouldn't normally see. So kids that chose to not go to post-secondary are continuing their education, because it was online and are staying at home. So there might be an unusual uptick in activity, if there's confidence of in class learning in Q2.  On the immigration front, I wouldn't say the wave has really started yet. But it's got to be reflected in these applications getting processed and the traffic uptick that we're now seeing. So it's all the factors that I talked about during the presentation, but they're all moving into positive momentum now. 
Brad Sturges : In terms of acquisitions as you said, active pipelines focus on the big 3 cities. What would be your appetite for, let's say, Alberta, Calgary, or Edmonton perhaps? Is that more on the radar today or are still kind of more of the focus on the cities that you've already alluded to?
Mark Kenney: The good operators in those markets are doing really well. I think that the story for those 3 markets was, let's say, Edmonton, Calgary going to comment on those. The pan -- the worst of the pandemic is over and the worst of the oil and gas movements are over. I think there is a sense of optimism in those cities because the oil extraction regions that are active are going to stay active, it's highly unlikely infrastructure dollars to go into drilling more oil. Looking at what's happening with the price of oil, it's got to be positive there as well. The issue that I think good multifamily operators are trying to overcome is there is still a lot of new construction products. And the quality is quite jaw dropping. Though I would say in general, where there's attractive cap rates, the upside is likely moving in a positive direction there. 
Brad Sturges : And I guess last question, in terms of funding future acquisitions, you did a deal on St. Clair West the vendor taking back stock. Is that going to be a component of future deals more so than what we've seen in the past? Or is there more appetite from vendors to take back stock as part of acquisitions? 
Mark Kenney: Yes, there's definitely more private vendors in the market now as we've talked about. The appetite to take CAPREIT stock and running an apartment building in a challenging environment, it's been enough for some vendors to say, we like your -- we'd like to your currency. I'm very open to doing deals where I'm -- striking a deal at above NAV, and avoiding discounting of the stock and dilution to our existing unit holders, and the cost of underwriting charges, so -- fees.  So effectively at St. Clair, we did a private placement when you think of about, without the need to move to the capital markets and having discounting in the cost of issuing equity. So we're open to that, there's a limitation to what we can do in that regard. In our own way of thinking, but with something, the strategy that we're open to if it's going to circumvent a market process and give us access to a deal at attractive values that we may not be competitive in the open market.
Operator: Our next question comes from Joanne Chen of BMO Financial Group. 
Joanne Chen: Maybe just jumping back to the previous question on some of the other  in Toronto, Montreal. It looks like some of the expenses and markets jumped up quite a bit. Could you please provide a little bit more color? Obviously, on the top line, things are trending the right direction but maybe just on expense side of things are you seeing something different there causing some of pressures or --
Mark Kenney: You can see a lot of uptick, that's correct. As we come out of the pandemic, we're clearly doing a degree of catch up of work that was not being done, residents weren’t comfortable to a large extent having work done in the common areas, or even in their units during the pandemic, though is tensions there have eased. We have seen an uptick in residents wanting to give access and residents being comfortable, were seeing us do work in the common areas. We also rolled out our portal early in the pandemic, which really gives people the ability to put in service request order 24 hours a day, 7 days a week. And our mobile crews that work 24 hours, 7 days a week are able to respond to those. So it's really just a matter of, are people comfortable with us coming in and a bit of catch up? I don't think there's any alarming trend there.
Joanne Chen: And I guess thus far, how has the leasing I went in attendance in October and thus far in November? Has it kind of kept pace with what we saw in Q2?
Mark Kenney: I think what we're seeing is, all the trends are positive. We're seeing an uptick in all markets. And I would just point to all of the drivers of demand that we talked about in the presentation are all very positive.
Joanne Chen: And maybe just switching gears back on the acquisition side of things. You mentioned, kind of given how competitive the current pricing environment is. U.K. mostly kind of the targets of what you guys are applying, you've mentioned earlier around this 3-ish cap range? Would that be fair? Or are you finding that continuing to compress?
Mark Kenney: Yes. Well, we're always trying to price in a perfect world and we move around this metrics, 150 basis points of spread between the cost of tenure money cap rate, where we see with confidence 5% bottom-line growth. And we will move around that target if we think there's more bottom-line growth and we want to increase that spread if we think there's less. But that is truly the discipline that we're using when we leverage cap rate debt levels on acquisitions, we don't try to buy acquisitions with leverage. You want accretive assets day 1 and it's just that discipline. And really, it's a game of numbers, like the acquisition group this year, has again surpassed the underwriting of over 300 deals that we have found of interest. And our success rate is around under 5%, but it's resulting in some very, very large, high-quality acquisitions in terms of overall value. So we're just highly disciplined.
Joanne Chen: And one last one for me, switching to maybe on the regulatory side of things, with the upcoming election, next year in Ontario, are you guys thinking potentially there could be any change? What was your thinking around potential changes on the regulatory front without election or is it  right now?
Mark Kenney: I think that the narrative is truly becoming a narrative of supply. And I think the predominance housing dialogue is around homeownership affordability. And I think that, that will definitely drive political attention. But if interest rates are rising and we're seeing some softening of the markets, and they're not overheating the way that they were, we will hopefully find ourselves in a more balanced housing market, I'm optimistic there. But our view is that the -- our engagement with government, which is generally positive, is around being part of the supply equation. So that's all I can really say. The political thinking appears to be around supply, which is positive. 
Operator: Our next question comes from Matt Logan of RBC Capital Markets. 
Matt Logan: Mark, you talked about occupancy, potentially having some room to increase further despite having very little vacancy in the portfolio already? When you look ahead, what needs to happen and CAPREIT's portfolio and perhaps the broader market, before the businesses back to delivering mid-single-digit organic growth, and you're seeing mid-teens spreads on new leases? 
Mark Kenney: Yes, I think it's back to those drivers of demand again, the under 30s coming back from home, whether it be to go to school or mandated back to work, integration, we've talked about. All the drivers around affordability, the impairments to being able to buy a home. All of these things have got to do with how comfortable people are out shopping for an apartment. And living in core cities again. The suburban portfolio has been relatively unaffected. It's really core Montreal, core Toronto, that have been the most impacted, okay?  So the trend on all those drivers is positive and we said so many times in the past, there was a housing supply crisis, before the pandemic kick. And there's a housing supply crisis that's even more exaggerated today. Not just because there's more people, but because a lot of the supply has left the market. And then when we're talking about core Toronto, core Montreal, some extent core Vancouver, those units that were being rented individually, condo units, Airbnb units, a lot of the owners that suffered vacancy there sold their units end to end user hands. So it's our assertion that the rental tool has actually gotten smaller during the pandemic.  And as those units have moved into end user hands, it's only exaggerated the going forward demand for apartments. But again, it's really driven by those key drivers that we talked about in the presentation. 
Matt Logan: It's an interesting comment on the condo transition. When you think about those core markets, that are Toronto, Montreal, Vancouver, like, where would they be relative to pre-pandemic levels in terms of demand? Are we kind of 80% there or 90% there? How we kind of tracking towards recovery? 
Mark Kenney: I would -- if we're just using anecdotal numbers, I would characterize Montreal as 80% there. Toronto arguably 90% there -- 85% there, somewhere in there, and Vancouver 95% to 100% there. We saw people come back the most quickly in Vancouver, which is not surprising a lot of the under 30s that live in that Vancouver core aren't necessarily kids from DC they've moved into Vancouver as a place to work, but it's Montreal definitely that it's returning labs and Toronto we're seeing again daily improvements in our traffic. 
Matt Logan: Maybe just changing gears here for a moment. You talked about kind of peeling off individual assets with some density potential and certainly showing a 1.5 cap, sounds like a pretty good idea to me. How big could that disposition program be? And kind of what's your outlook for maybe selling some of that density over the next couple of years?
Mark Kenney: I wouldn't -- at this stage, characterize that is opportunistic. In markets where we've been fortunate enough to have locations that are part of land assemblies, and that has happened to us now, a couple of times in Toronto. We are comfortable recognizing that value for unit holders. There are perhaps assets that are no longer strategic, because the value-add program is highly evolved. And if there are cap rates in those markets that we believe are disconnected from value, where we can recycle that capital into more accretive higher upside real estate investments, we're going to do so.  But I think the point on our disposition is just that the value that we claimed is there, is there, it's there on the development front. How we recognize that value in the current state, I think it's just sensible to take those extremely low cap rates and recycled them in the marketplace, where we think it's appropriate. But I would not characterize this at all, as a strategic change. At this stage, I think we would just call it opportunistic, good real estate decision-making. 
Matt Logan: And in terms of that development potential, like how much of that is reflected in cap rates, IFRS, NAV. There's 10,000 units across the portfolio that you could build, but maybe just wondering how much is baked in?
Mark Kenney: Well, in our case, it's very difficult to truly recognize the value until the entitlement has happened. So when we're talking about developing on our own brand, there is clearly cap rate compression on just through the general opportunity, when you're in the acquisition market and that is deemed to be development opportunity on some of these transactions that we're seeing. It's baked into the cap rate. You might get a lower cap rate, you won't necessarily get attribution for full value. So in cap rate case, we're not recognizing the full value until such time that we get clear entitlement. Otherwise, it's an unfair way to approach things. So it's consistent with how our appraisers look at our properties, we take the same general approach. But the exciting thing about the last couple of dispositions is it's clearly demonstrated that we are achieving value is far beyond our IFRS attribution and that's just a very positive sign. So to answer your question, specifically, it's not really until we get to the stage of getting defined entitlement. 
Matt Logan: And maybe one last 1 last 1 for me Mark. When you say you're trading some of these assets above your IFRS values. How much higher those asset sales be relative to where you're occurring them?
Mark Kenney: Well, again, very cautious about how I say this, we only had a couple. But we were certainly compelled, because we were approached. And there was a significant spread in those two cases, but it's hardly a portfolio review. Again, we were not actively marketing those properties. We are identifying properties that are perhaps non-strategic this point. But we were approached in both cases on those and it was just too compelling to not do. And I've got to add that the developers that assembled the land, we're able to get far more density with adding our properties than we would have been able to get on a standalone basis. So I became very, very comfortable. So I wasn't giving up any value, because a land assembly that we have not done doesn't give us the same density and development opportunities that we could have on our own.  So again, it's a great testimony to good -- that making good asset allocation, both the deals that we’ve -- the 1 deal we've announced as an operating lease, and we're seeing that our operating leases that we have made freehold do have significant value. 
Operator: Our next question comes from Matt Kornack of National Bank Financial. 
Matt Kornack: With regards to incentive usage, maybe in your portfolio and then in the broader market, you were able to maintain high occupancy. So I'd assume you're maybe using less incentives at this point. There are you seeing peers who are trying to fill up more aggressively use them, at least now. And what do you see in terms of trajectory on that front? 
Mark Kenney: Great question. It's a hard 1 to answer. I think that I would characterize our use of incentives as having been wise in looking back. The net financial effects of our incentives, I think we generally correlated to the equivalent of 1% annualized vacancy loss, Scott did those numbers and can provide in more detail. But the problem is in certain core markets, and really, Montreal would be a standard here. Competitors are all offering incentives. So we track that very closely.  Like where we're able to taper off is buildings that we got a full occupancy on and regardless of what's happening in the marketplace, we are not using incentives, but where there's wide use of incentives and we're trying to improve those vacancies, we're still using them. But I would characterize incentives as tapering at this point, but with us as we amortize them over a 1-year period. So they're with us into 2022 but we'll be bleeding off in hopefully Q4, Q3 2022.
Matt Kornack: And then judging from your commentary, more broadly I guess, as the demand drivers come back in Montreal, Toronto, those should go to 0 and turn into rent growth by sort of mid --
Mark Kenney: We’re achieving both right now. Like if you look at – Scott, you may want to talk about. But when you look at what we're doing, we're actually look at the quarters and you can see that rent growth on mark-to-market is definitely there. And somebody tried to get me to give more color on that. I think it gave positive momentum. But we're very confident, let’s say, drivers are returning. And I believe and it's just through feedback and we're kind of from real estate brokerage on the private ownership side, that a lot of condos wanting to end user hands. And when you look at condo new developments and condo trades in places like Toronto and Vancouver in particular, to a certain extent, Montreal, they're not being bought by investors anymore. $1,300 a foot you can't make buyable rental work on that.  When we were in the $500 a foot condo acquisition market, you could make $2500 to $3,500 rents work, we're in a very different environment now. So as those investors have made the access, I believe we got a smaller pool of rental out there. I certainly know we don't have a larger 1. Any new purpose built has not kept pace with the required housing needs.
Scott Cryer : It makes sense. And yes, I can draw my line here from 3% to 6%, wherever -- October as a trend is still consistent with that. So I think Ontario and actually Halifax is a huge driver, which would have been not necessarily always the case, going back 3 or 5 years.  is kind of following and so. But actually positive pretty much across the country. 
Matt Kornack: And I guess maybe the last 1 for me. I mean, some of what's come out of this pandemic may be permanent. What are your thoughts in terms of, again, markets like Halifax or you've gone into Kelowna, Victoria, where there's going to be some retirement community plays? What are your thoughts? Like is there some permanent to what we're seeing? And does that impact how you deploy capital going forward?
Mark Kenney: Again, we have to wait for the data to support what I'm saying. But anecdotally and instinct wise, I think the pandemic, it wasn't just serve that it's created this labor shortage, which is really a real thing. I think it was early retirement to a great extent. A lot of people that had contemplated retirement in the next 5 years, escalated those plans to now. So that bodes well, for retirement communities like Kelowna, like Victoria BC, Quebec City, et cetera.  On the domestic university front, Canadian kids are definitely wanting to go back to school. And when the tidal wave of international students returned then it is significant. Those markets are going to come under even more pressure.  And then the last theme that I don't see, changing in the CAPREIT portfolio, is the suburbs of the big cities are going to continue to do well, because people want more space. So we emphasize the space offering at CAPREIT to our townhouses, to our manufactured homes, and through our predominantly suburban portfolio. And those that pieces is clearly intact and was working extremely well throughout the pandemic. It's when the old market drivers come back that I think that we're really going to see a change. So I think it's safe to not to use your ruler to draw the line. I'm not sure if using a boomerang right now, but certainly safe to pay attention to those drivers, and there's not negativity in the market at this stage. 
Operator: Our final question comes from Mike Markidis of Desjardins Capital Markets.
Mike Markidis : Just 1 question for me. Mark, just with your confidence in the outlook, which is I think abundantly clear in your comments. Have do you, at some point, given the consideration to CAPREIT strategy with respect to in suite renovation capital, just given the drivers you've seen? Or is affordability still the most pressing issue for you going forward?
Mark Kenney: Right now, you can handicap me for my enthusiasm back, because I think most people I know with my enthusiasm, so handicap that, but I am optimistic. I think that the renovation program is clearly going to see part of our business plan. The difficulty a lot of apartment owners, not just CAPREIT, but a lot of apartment owners had during the pandemic and now as we come out of it is really doing those renovations, practically speaking, getting them actually done.  So in a market that hasn't returned to full force, where we are still competing for residents, it's only sensible that that program slows. But as we come out of things, the demand drivers return. Clearly that program was sensible. And even with our renovations in the mark-to-market rents that we hope to achieve, they're still extreme -- it's still affordable living, it's highly affordable living in great locations and great quality.  So I’d just say, at the end of the day, CAPREIT does not deviated at all, from our business plan of focusing on quality homes for people to live in. 
Mike Markidis : Okay. And I just asked maybe differently relative to the amount of activity we're doing, let's say, pre-pandemic and let's say next year-over-year after we're kind of back to that level, lease playout, just given the returns that you can get at DC that is something you want to amp up further both from a number of units or stem perspective, or is it something that would just remain consistent with historical? 
Mark Kenney: I think we'd return to historical, a lots going to have to do with the labor shortage situation, a lot is going to have to do with those demand drivers coming full back. But the -- there's no deviation, I'd say from our pre-pandemic business plan of providing high quality homes. So a lot of it has to do with our ability to execute not just the conviction of spending the dollars, but my mind is turned to no change in strategy here. 
Operator: This concludes today's Q&A. So I would like to hand you back to Mark Kenney for any closing remarks.
Mark Kenney: Thank you very much. Thank you to all who took the time to show interest in CAPREIT. We appreciate the support, we appreciate the interest. Any questions I would direct you to reach either Scott or I for clarification, and wishing you all a very nice day and a happy Remembrance Day to come. Thank you.
Operator: This concludes the Canadian Apartment Properties REIT's third quarter 2021 results conference calls. Thank you for joining. We hope you have a great rest of your day. You may now disconnect your line.